Edgar Fu: We have Mr. Zhang Zhiyong, Chairman of the company; Executive Director and General Manager, Mr. Gu Xiaomin; Executive Director, Mr. Gao Chunlei; and our Chief Accountant, Mr. Hu Shaofeng. Here is the setup of this afternoon's event. Firstly, we are going to present to you the results for the first half of the year of 2023, and then we're going to have a Q&A. So now first of all, I'd like to give the floor to our Chairman, Mr. Zhang Zhiyong. Mr. Zhang, the floor is yours.
Zhiyong Zhang: Ladies and gentlemen, our analyst friends, good afternoon. It's a great pleasure to share with you the internal results of China Tower for the first half of 2023, and I'm very happy to meet you here in person. Also, I'd like to thank you for your long-term support and interest in China Tower. Present at today's event, we have several management members, which were introduced to you by Mr. Edgar Fu earlier. So the presentation today will be broken down into 3 parts. Firstly, I'm going to share with you the overall performance of the company for the first half of the year. And then it will be followed by Mr. Gu Xiaomin and Mr. Hu Shaofeng, which will be about the company's business performance and also our financial performance. And finally, we're going to have a Q&A session, where we are going to answer all your questions. In the first half of the year, we can say we have been adhering to the concept of share development embrace development opportunities presented by the country's Cyberpower, Digital China and dual carbon strategies and implemented a new round of commercial pricing agreements, thus we were able to keep our overall operating results stable. As is shown in the slide here, our operating revenue continued to grow, increasing year-on-year by 2.2% to CNY 46.46 billion. As is known to all, this is the year 1 of the new round of commercial pricing agreement. Excluding the impacts of commercial pricing, the upward trend was maintained and the operating revenue increased by 6.2% year-on-year. Our net profit amounted to CNY 4.84 billion, up 14.6% year-on-year. W0e remained profitable. Our tenancy ratio was 1.77 tenants, increased by 0.03 tenant per site over the same period last year, indicating the colocation rate is capitalizing. There's one point I'd like to illustrate here. As you can see from the slide, we have 6 arrows; 5 of them are upward and 1 is downward. For the downward arrow, is our operating cash flow. For the first half of the year, there is a drop of 63%. This is very much due to the implementation of the new commercial pricing agreement. We have the upgrade and adjustment of the charging system, data reconciliation and negotiation of service standards which took time to achieve. So that's why the return on revenue was temporarily delayed in the first half of the year and the operating cash flow is temporarily under pressure. However, it is expected that the cash flow will gradually improve to normal levels in the second half of the year as the pace of receivables collection accelerates while all the provincial level service agreements are executed and our cash flow will improve. And in fact, in the past few months, it has been on an upward trend. So this is just a temporary thing. From the next slide, as you can see, it's our performance, more specifically, our One Core and Two Wings business. For our TSP business, revenue in the first half of the year was down 1.1% year-on-year to CNY 40.91 billion, excluding the impact of commercial pricing adjustments because the impact is for this year only and will be gone next year. And on a comparable basis, revenue of the business rose 3.4% year-on-year. Revenue from the Two Wings business rose 33.7% year-on-year to CNY 5.36 billion, giving a stronger yet push to the company's revenue growth. Excluding the impacts of commercial pricing adjustments, the Two Wings business accounted for 11.1% of the revenue, up from 8.8% in the same period last year and was playing a stronger role in driving our revenue growth. So I'd like to remind you again, that's on a comparable basis. And it's safe to say that our Two Wings business play a stronger role in driving our overall growth. For the first half of the year, we firmly seized the opportunity to expand and strengthen the breadth and depth of 5G network coverage. Strengthened resource coordination and sharing leveraged our operation expertise and efficiently met our customers' network construction needs. As you can see from the slide, by the end of June, the company had cumulatively built 2.086 million 5G base stations, more than 95% of which were built using existing site resources to meet demand. And in the meantime, we already saw the trend last year, so for this year, the demand for new 5G construction has also increased. In fact, it has more than doubled. So for the 5G development this year, we are going to not only use our existing cyber resources, that's 95% of existing cyber resources. And the demand has more than doubled that of last year. In the first half of 2023, DAS business contributed 47.4% to the revenue growth of TSP business, excluding the impacts of commercial pricing. Starting from the year 2021 to 2022 to 2023, if we compare the past 3 years, the pooling effect is increasing. And this business contribution is now 47.4%. So it's our second growth engine. It's all the more obvious to the growth of the company. So for Smart Tower business, we have seized the opportunities presented by the Digital China Strategy and capitalized on our mid and high-point resource advantage, to continue to build digital towers, aiming to construct digital governance network for different industries. We have also started investment in R&D and gradually built product advantages in various areas: platform; data; algorithm; application; and operations. In addition, we have developed a companion service system and innovative customer service mechanisms to meet customers' demand for personalized services in forestry, land, hydrology, et cetera. So in the process, we have more communication towers to better serve our customers other than the TSPs. So while trying to serve our TSP customers, we are also trying to serve other social customers, for example, enterprise and government customers. In terms of governance, so our communication towers now truly become digital towers to help the modern governance of the country. In the first half of the year, Smart Tower business maintained rapid growth with revenue surging 31% year-on-year to CNY 3.39 billion. For our Energy business, we have actively captured opportunities in the new energy sector and focus on improving product capabilities and performance in such core businesses as battery exchange and power backup by fully utilizing our resources. We have focused on the delivery riders and also power backup for key industries to continue to improve our operation capabilities, promote intelligent customer service and enhance dedicated asset management. We also accelerated iteration and upgrade of our platforms to improve user experience and drive the development of Energy business to new heights. In the first half of the year, Energy business achieved revenue of CNY 1.98 billion, 38.5% more year-on-year. The business is expanding. In the first half of the year, we have kept enhancing our operation and management standards and fortified the base for development. We have firstly raised the efficiency of asset operation, accelerated rollouts of intelligent operation and maintenance with the use of unique tracking code throughout the production procedure, [ kicked off ] value management throughout the life cycle of assets and were able to extend asset life span and raise operational efficiency. Secondly, system operation reforms were deepened. Thirdly, we promoted technological innovation. And fourthly, we strengthened compliance management. We push ahead with developing an overall compliance system to build a coordinated and efficient 3-in-1 system, covering risk control, Internet control and compliance. Looking to the future, we face very good opportunities for growth. Firstly, the country proposes to moderately advance the deployment of digital infrastructure. While expanding the breadth of 5G coverage, it will further increase the depth of coverage and focus on key scenarios. The continuous release of 5G base station construction demand drives steady growth in the TSP business of the company. In addition, with the digital economy evolving depth, digital governance in various subsectors has become the new pursuit and the related market is expected to grow. And that is going to present huge room for growth to our Smart Tower business. And with the push of the dual carbon strategy, green transformation of energy production and consumption and also grain transportation has brought new development opportunities to relevant industries and will also be conducive to the company expand in new energy application services, such as power backup and battery exchange in the longer term. Looking ahead, we will continue to uphold the shared development philosophy and implement the One Core and Two Wings strategy; drive development centrally around sharing service innovation technology and value creation and build an operation system that is professional in terms of dedicated efficient and digitized. Also, we will continue to pursue reforms and innovation, strengthen our core advantages and promote continuous stable development of our TSP business. The Two Wings business attaining high-quality growth will also create higher value for our shareholders, customers and society. So that's my overall report to you. Now I'd like to give the floor to our Executive Director and General Manager, Mr. Gu Xiaomin, to explain in detail the company's business performance. Thank you.
Xiaomin Gu: Thank you, Mr. Chairman. Now I'm going to talk to you about the company's business development in the first half of the year. As you can see from the slide, it shows the revenue and the change of each business segment of the company and also, key business data. I'm going to explain them in details. For the first half of the year, the overall revenue continued to grow steadily. Regarding the share of contribution to revenue growth, to better reflect the contribution from various business segments, we have excluded the impact of commercial pricing agreements. On a comparable basis, supported by multiple pillars revenue structure, our operating revenue increased by 6.2% year-on-year in the first half. From the perspective of incremental structure, TSP business contributed 49.9% to the incremental operating revenue, pushing up revenue by 3.1 percentage points. The contribution from Tower business was 26.3%. Contribution from DAS business was 23.6%, driving revenue by 1.6 percentage points and 1.5 percentage points, respectively. Our Two Wings business is also contributing more and more to incremental revenue, up to 47.6% and lifting revenue by 3 percentage points. Smart Tower business contribution increased by 1.8 percentage points to 28.3%, making it the main source of revenue growth. Contribution from the Energy business reached 19.3%, pushing up revenue by 1.2 percentage points. Next, I will talk about the development of our main businesses. Our Tower business, we have actively pushed for policy support to allow us to fully share sat existing resources and use social resources extensively to promote implementation of integrated wireless communication coverage solutions. Secondly, we have actively captured the customers' demand in 5G and continue to lower the construction cost by introducing innovative products such as outdoor power supply source and CRAN rooms, as to meet customer needs economically and efficiently. Thirdly, we have deepened the service model to meet customer needs. In particular, we jointly planned and deployed with customers for battery requirements such as 900M and 700M, so as to serve our customers better. In the first half of the year, excluding the impact of commercial pricing, Tower business recorded revenue of CNY 39.34 billion or 1.9% more year-on-year and continued to develop steadily. As at the end of June 2023, the business had 3.423 million TSP tenants, 3.7% more compared to the same period last year. And TSP tenancy ratio also increased from 1.62 in the same period last year to 1.67, pointing to a higher colocation rate. As for DAS business, we deepened an integrated approach to coordinating resources and demands while continue to improve our professional capabilities in solution design and quality control, consolidated our low-cost, high-quality service and low energy consumption DAS solution advantages. We also gave full play to our advantages in coordination and centralized construction to promote application of innovative shared DAS products and integrated service solutions. We were, thus, able to strengthen the second engine row of DAS for driving TSP business development. In the first half of the year, DAS business recorded revenue of CNY 3.42 billion, 24.4% more year-on-year. In the first half of the year, we added 1.43 billion square meters to area in buildings covered by DAS business. Subway coverage increased by about 1,110 kilometers. And the high-speed rail tunnel coverage increased by about 985 kilometers. Our DAS business coverage has kept expanding for the first half of the year. We have strived to take the concept of shared development to greater depth and have brought into play our advantages of abundant resources, operational dedicated maintenance and unified and intensive management. By equipping various video, radar and sensing devices, we provide digital governance solutions for various industries, continuously enhancing our expertise in Smart Tower business. Tower Monitoring business realized revenue of CNY 2.076 billion in the first half of the year, climbed to 61.3% of the total segment revenue. Revenue from site sharing business was CNY 1.31 billion, 31% more year-on-year. Our digital service capabilities further improved. In terms of our monitoring and video service, the company kept pace with the customers' requirements and stepped up our product development and promoted transformation and implementation of key products in key industries, such as preventing forest fires, straw burning burn, farmland protection, fishing ban in Yangtze River and [ like ] management. We have also provided technological solutions for the intelligent management service of farmland protection with 50,000 telecom towers across the country installed with high-definition cameras, coupled with AI recognition algorithm, real-time monitoring of more than 70 million more farmland, 18 provinces in country. It's possible, providing technical means to support intelligent management and service for farmland protection. The company actively served the country to achieve its dual carbon goals, created both online and off-line service system to win the trust of customers with high-quality services, continued to increase R&D investment, built leading frontages with high-quality products and forge our core competitiveness. We built a smart energy operation platform to promote intelligence formation of Energy business and continue to engage in specialized Energy business. In the first half of 2023, battery exchange business recorded revenue of CNY 980 million, up 22.4% year-on-year. The revenue of power backup and other businesses was CNY 990 million, a year-on-year climb of 59.1%. The business has taken its professional service to a higher level. For battery exchange business, we continue to develop market. Battery exchange service for delivery riders started to operate in 300 cities and accumulated up to 1 million users. This helped consolidate our business leadership in the light electric vehicle battery exchange market. For power backup business, we focus on our customers in key industries, conducted large-scale promotion of standard power backup products, continued to optimize core power backup and monitoring plus products and enrich its 4 in 1 power guarantee solutions, working hard on building an Energy Butler service model for enhancing its market competitiveness. So that's my report on business performance. Now Mr. Hu Shaofeng, our Chief Accountant of the company, will go through with you the company's financial performance in the first half of the year.
Shaofeng Hu: Thank you, Mr. Gu. Dear analyst friends, good afternoon. Now I'm going to walk you through the company's financial performance for the first half of 2023. This table lists the company's main financial indicators for the first half of 2023. In the first half of the year, the overall performance of the company was good, with steady growth in revenue, continuous improvement in profitability and a stable financial situation. In terms of cost in the first half of the year, the operating cost was CNY 39.047 billion, an increase of 1.7% compared to the same period last year, 0.5 percentage points lower than the operating revenue and the ratio of operating cost revenue decreased. Among them, depreciation and amortization decreased 1.1% compared to the same period last year, mainly due to the aging of the company's existing assets, change in the demand structure for 5G construction and continuous optimization of construction plans, which led to a decrease in the scale of newly added assets by the company. In the first half of the year, repairs and maintenance expenses increased 2.1% against the same period last year. In the first half, the company continued special actions such as certain safety hazards and repairing and maintaining assets to ensure safe operation of equipment and facilities and customer service quality. At the same time, it sped up digitization of site operations and promotion promoted the application of intelligent operation and continued standardized management to effectively enhance our capability in operation. Site operations and support expense increased 0.5% year-on-year, mainly due to CNY 160 million increase in IT support service fees related to site operations. Other operating expenses were 16.3% more than that of the same period last year. Rapid growth of the Two Wings business pushed up business development costs, including related technical support service expenses, marketing expenses and expense on utilities in business operation by CNY 740 million year-on-year. Benefiting from the company's intensive management of company revenue expenditure and use of low-cost financing channels, the interest-bearing liabilities of the company decreased against the same period last year and overall financing costs remained low. In the first half of 2023, the company's net financial expenses decreased by 16.3% compared to the same last year. With operating income steady growing and good cost control, profitability of the company has continued to be strengthened. In the first half of the year, operating profit was CNY 7.41 billion, up 4.6% year-on-year. Operating profit margin widened by 0.4 percentage points year-on-year, and EBITDA was CNY 32.02 billion, up 0.2% year-on-year. Net profit for the period was CNY 4.84 billion, an increase of 14.6% against the same period last year, and the net profit margin increased by 1.1 percentage points when compared with the same period last year. The company has insisted on matching investment with business development and capacity building, actively expanding effective investment and continue to consolidate for development. CapEx in the first half of 2023 amounted to CNY 12.82 billion, 41.1% more than in the same period last year. Among them, increasing resource investment to match One Core and Two Wings business development needs. In the first half of 2023, CNY 6.81 billion, we invested in new site construction and augmentation, a 27.2% increase against the same period last year. The investment in Two Wings business was CNY 1.86 billion, 51.7% more than that in the same period last year and its share of capital tax for the period rose by 1 percentage point when compared to the same period last year. Dedicated to improving the quality of asset operation and long-term service capabilities, the company has appropriately increased investment in safe production and operation and asset life extension and arranged upgrades of intelligent operations and maintenance in good order. In the first half of the year, the proportion of investment in asset renewal and forming capital expenditure increased by 6.6 percentage points against the same period last year. In the first half of the year, impacted by the implementation of new phase of commercial pricing agreements, which involved the upgrade and adjustment of charging system, data reconciliation and negotiation of service standards, the return of revenue was temporarily delayed in the first half of 2023. Operating cash flow was CNY 11.56 billion, down by 63.1% compared with the same period last year. The free cash flow was minus CNY 1.27 billion. The company has shown an upward trend in the monthly cash flow since second quarter. In the second half of the year, with the new commercial pricing taking effect and the current receivable collections to speed up, cash flow will gradually return to the normal level. As at the 30th June 2023, the company's asset liability ratio was 39.4%, up 2.8 percentage points compared to that at the end of last year. Gearing Ratio was 31.6%, 3.9 percentage points more against the end of last year. The company's overall capital structure has remained stable. In the second half of the year, the company will seize development opportunities, actively expand effective investment, continuously strengthen cost control and continue to promote high-quality development of the company, creating greater value for shareholders.
Shaofeng Hu: Thank you.
End of Q&A: